Operator: Welcome to the Dream Impact Trust Fourth Quarter Conference Call for Wednesday, February 18, 2026. Please advise the participants are in listen only mode and the conference is being recorded. [Operator Instructions] During this call, management of Dream Impact Trust may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond the Trust's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in the Trust's filings with the securities regulators, including its final long-form prospectus. These filings are also available on Dream Impact Trust's website at www.dreamimpacttrust.ca. Your host for today will be Mr. Michael Cooper, Portfolio Manager. Mr. Cooper, please proceed.
Michael Cooper: Thank you, operator. Good morning. I'm here with Derrick Lau, the CFO. We put out a press release on January 7 with a business update. And although we're quite busy in a lot of efforts, there hasn't been that much of an update since then. I guess the key thing is 49 Ontario, which we've talked about quite a bit, and I guess we talked about all of 2025. And by the end of the year or early into this year, we had accomplished everything we had set out for, including having a 20-year debt which really helps us manage through the cycles. And we got the development charge waiver, and we're really pleased to be one of the first of the groups that got development charge waivers to begin construction. And although there's a softening rental market between the HST savings, the development charge savings and what we're seeing in construction costs, which is a significant decrease. I think our overall cost will be down by more than rental rates are down. And what's nice about it is there's like -- right now, we're sort of at the fulcrum of declining population as people are leaving the country when their visas come up as well as the massive delivery of condos. So our hope is that while the savings are permanent, the rental rates will return to normal before the building is finished. The building, we had about $65 million of equity in the project. We sold 10% so we got $57 million. We got $5 million or $6 million on the first advance for prior costs, and we got a piece of land that we'll be selling. So there's a fair amount of equity there, especially when -- I mean, right now, there's about $4 a share equity in 49 Ontario. And as we complete it, I mean, we're getting about $1 a share out of that in terms of the sale plus cash we're getting back. But we think that by the time we've completed the building, which would be, let's say, 2030, -- it's about $120 million or $6 a share on its own. So we're very pleased that the work we're putting into 49 Ontario has come to fruition. And $6 a share is a lot of equity in one asset. And we've got other assets we're working on that we think will contribute as well. So I'll get into it in more detail, but we are seeing progress. There's some other areas that we thought might be done by now. It looks like it could take a couple of weeks more. But throughout the whole company, we've been dealing with that. We've been advancing projects. We've been very fortunate leasing up Maple House, which is stabilized at this point and Block 4, 7, Block 3, 4 -- Block 7 was finished and is almost fully leased. And Block 3, 4 we just started leasing at the beginning of the year, and it's quite encouraging what we're seeing. So there's a lot of good signs, and I think we just got to bring a lot of it together for people to see it. So Derrick, on that, do you want to give an update on the quarter and the year?
Siu-Ming Lau: Thank you, Michael, and good morning. During 2025 and into early 2026, the Trust has made good progress on its 5-year strategic plan. Our plan is focused on progressing key development projects, reducing risk and enhancing liquidity. I will provide an update on these initiatives after going through our fourth quarter results. In Q4 2025, the Trust recognized a net loss of $23.5 million compared to an $8.3 million net loss in the prior year. There are several moving pieces that caused this change. These included fair value adjustments in each year, condo occupancies at Brightwater in the prior year quarter and a deferred tax recovery position. In addition, in Q4 2025, we recognized a loss related to the amendment of our convertible debentures. Partially offsetting these was NOI growth from our multifamily rental assets, including those that reached or are nearing stabilization. For the recurring income segment, same-property NOI for multifamily properties was $2.8 million compared to $2.5 million in the prior year. The increase in NOI was largely driven by improved occupancy across our assets in lease-up and higher rents from our turnover across our value-add portfolio. As at December 31, 2025, the portfolio had committed occupancy of 94%. The Trust continues to advance its near-term multifamily pipeline, which is expected to deliver nearly 1,500 units over the next 2 years. At Cherry House, Block 7 is over 94% leased and leasing for the remaining blocks commenced in January. For the Development segment, the Trust reported a net loss of $5.9 million, which is largely consistent with the prior year quarter. In 2025, Brightwater closings surpassed 500 units. During the quarter, closings commenced at the Mason, which comprises 158 units with proceeds used to repay approximately $15 million of construction debt. As noted in our January update, we commenced demolition at 49 Ontario in November and have since completed the sale of a 10% interest to our partner, CentreCourt, for $6.5 million. We also secured 20-year government financing and completed our first draw. Proceeds were used to repay the prior $80 million land loan and to recover certain predevelopment costs. As the sale into the new partnership occurred post year-end, 49 Ontario was temporarily classified as an asset held for sale as at December 31, 2025. We expect 49 Ontario to be included in equity account investments beginning in Q1 2026. We continue to make progress on our near- and medium-term debt maturities. During the quarter, we reduced our 2026 debt maturities by $56.5 million. This includes the convertible debenture extension, repayment of the Brightwater construction loan and the Stafford mortgage repayment. Since 2024, the Trust has reduced its land loan exposure by $95 million. We expect to further reduce our land loans by $56 million over the year, and we are working closely with our lenders and partners to address the remaining debt maturities for 2026. We remain focused on reducing risk and enhancing liquidity. In January 2026, we increased the capacity on the Dream loan to $50 million. As of February 17, the Trust has $24.8 million of cash and $29 million of availability under the Dream loan. The financing agreement demonstrates Dream's continued support of the Trust and provides it with increased flexibility as we work through our 5-year plan. I'll now turn the call back over to Michael.
Michael Cooper: Thank you, Derrick. As I mentioned earlier, 49 Ontario is the largest asset and the most significant revenue generator for us over the next few years. Quayside is coming along. We expect to have news on it very soon, and we're working with CMHC. And hopefully, it's less than a year behind 49 Ontario. On our loans, Derrick and the team have done a great job renewing loans. At Forma West, we are just finalizing a deal to extend it further 3 years with some paydowns. And on Quayside and Victory Silos, we're making a lot of progress. So we're really appreciative working with the banks. Going from a point where lands were $250 a foot 3 years ago to it being very difficult to sell land because of the lack of demand for condos, it's been a massive change. But with our work with the federal and city -- federal government of the city, we've been able to create projects. CMHC came out last week and said that they expect that housing starts will decline across the country over the next 3 years. And in the Toronto area specifically, condo will be down to 20-year lows. I would also just say that there will be continued apartments, but they think apartment starts will decline as well because it's tough to get things done now, but we've been able to get a bunch done. And I think all of that will be good in that there's not a lot of new supply coming and the old supply is all landing. So I think over the next couple of years, we're looking at some pretty good times. Let's see. I think at this time, if there's anybody who has questions, we'd be happy to answer them.
Operator: [Operator Instructions] Your first question comes from Sairam Srinivas with ATB Capital Markets.
Sairam Srinivas: Just looking at the multifamily portfolio and more specifically in Ottawa, occupancy is down a bit quarter-over-quarter. Is that more of a function of the softer market there? Or is it more something specific to the lease-up in Aalto Suites?
Michael Cooper: I think, firstly, our property in Ottawa, I don't believe it is down. I think that the 2 properties that are down are in Gatineau. And I think some of it is seasonal in that it's been a pretty brutal winter. And I think there's some things in the Gatineau market that are a little bit -- we're at the top end of that market. So I think it's been a bit slow. We're addressing that now. We expect it to be significantly higher in the summer. But we're very much aware that where we are now is not where we want to be on a stabilized basis, but I think this winter has been brutal.
Sairam Srinivas: That's fair. It's been pretty chilly out here. And Derrick, maybe this is a question for you. Looking at debt maturities in '26, I mean you spoke about the land loans and that's probably a priority for you guys. But can you speak about the cadence of the other maturities that are there in the year and the nature of those maturities...
Siu-Ming Lau: For sure, Sai. So for the ones that were maturing near the beginning, we pushed those out and we're addressing those. So we're actively working on about half of those right now, and the remainder or the bulk of it is near the year-end. So we have time to deal with, and we're working with our lenders, and we expect to be in good shape in addressing these maturities across the year.
Operator: Your next question comes from Sam Damiani with TD Cowen.
Sam Damiani: Just on the press release back in January, just wondering which did incorporate some planned disposition activity. Any updates on that front as we sit today?
Michael Cooper: Well, I would think about that this morning. We were referring to dispositions between now and 2030. We actually have very few in our business plan for 2026, like we're not trying to sell everything. In 2026, we've got a couple of small ones, and I think those are going fine. There's one I think we might delay. What I would say is we've had a couple of things go the right way in terms of cash. And I would say like at all times, we're looking both at our liquidity and value. And if we've got the cash to delay a sale in the sort of softer markets now, we kind of -- for commercial, we'd rather lease it up. Apartments maybe have a little better tone. So I think it looks as if we're going to be in pretty good shape cash-wise this year. So we may defer one sale. So I think we're looking at maybe $16 million of sales. This year, we might have $5 million. But that -- I would say that's planned. There's a bit more to do next year.
Sam Damiani: Okay. That's helpful. That clarifies it. And just on the leasing market on the residential side, has there been a change in a little bit of occupancy headwinds, I guess, in certain markets, but has there overall been like a further increase in the use of incentives to lease units over the last 3 months?
Michael Cooper: Our incentives have been -- I think that in purpose-built rental, you're at the most expensive apartments in a market, and you've got to lease up a lot of units at once. So I mean, incentives are pretty normal. I think the -- I don't think they've changed for us. I would say when you take a look at Block 10, which isn't with ACLP financing, there's no affordable. It's about just over 200 units. It's leased up really well and surprises how well at least and at least at good rates. Maple House has been slow. I think we were a little slow to realize that the market wasn't listening to our pro forma. But the last quarter, we got it stabilized, and it's looking really good. And I mean, I think we've got it stabilized at a sufficient occupancy and revenue that we're in the process now of seeing that asset become -- the loan become nonrecourse. And that's a $357 million mortgage that should go nonrecourse in the next couple of months, and that's a huge accomplishment. So we mentioned earlier Gatineau, and that hasn't been as good as we thought. But for the most part, we're very pleased with how the leasing has been going in Toronto on the new builds. And there's been a lot of turnover on the value add, and we're sort of lagging occupancy, but we're picking up a lot on rents going. I think it's been a bit of a surprise for all landlords that there's probably double the turnover today as there was 3 years ago. So that's pretty good. So it's actually not bad in Toronto for the apartments.
Sam Damiani: Okay. Last one for me. Just, Michael, in your comments, you mentioned an update on the debt on Forma West. I wonder if you could just expand on that a little bit.
Michael Cooper: Yes, it's hard to because it's not quite done, but it's a 3-year extension with some paydowns, and we got 2 partners. So we dealt with it the way the consensus was, but I think it's worked out pretty good. And it was all budgeted. So it's fine to have the paydowns, but it's also good to have a 3-year debt, so it's going to come up in 2029. So I think when Derrick referred to reducing some of the loans, the land loans this year, some of it's paid down. Some of it is selling the assets or putting them into production. So -- it's all part of what our plan is. But every time we get a land loan extended, we're pleased. We're doing very well with Quayside, with Victory Silos. And I don't think there's much more on the land loans that we got to deal with we dealt with Zibi last year. So the debt has been pretty good, I'd say.
Operator: Your next question comes from Roger Lafontaine with Nugget Capital Partners.
Roger Lafontaine: Michael, and Derrick congrats on a very good quarter. I had one question about your transaction delay. You mentioned -- I know one of your peers said that the office market in downtown Toronto was improving, and he delayed an office sale to lease it up ahead of the sale. So I was wondering if you'd be able to touch base on whether you're seeing that with your properties or with Dream's properties about improved office transaction liquidity if that was one of the assets you might have been considering to dispose. And I was also wondering if you could perhaps mention if there was any kind of update on the Capital View Lands. I know there was some excitement last year about that and kind of the market went cold. So those are my 2 questions, and I'd appreciate any kind of feedback.
Michael Cooper: The asset we're looking to defer is actually an apartment asset. And there's a couple of reasons on the -- there's a couple of technical aspects that we got to work on before we sell it. So that's the main driver. I think the pricing would have been pretty good. Your comments on office, I didn't know that somebody had decided not to market to lease it up. What we're seeing, and this is from a distance because we're sort of -- obviously, with Dream Office, we're pretty close to what's happening in the office market. But it seems that like a year ago, 2 years ago, 3 years ago, like George Brown College bought an office building from H&R, and we sold a building to the Ontario government, we sold another building to a health care group. So what you saw was you saw owners like investors in office buildings selling their assets to users. And that changed a lot in 2025. And what's important about that is when an investor is buying an office building, they're basically creating a model for -- that will represent what they think is going to happen in that building. And this is where it's been a really interesting thing this year. We're starting to see what assumptions people are making. So one of the things is it seems as if when you're selling an asset, there's a concurrence that 95% occupancy is reasonable. The leasing costs, they're using average leasing costs and buyers are under the assumption that leasing costs will improve over the next couple of years. They're using lower leasing costs than we would. So I think that's really good. The third point we're seeing is people want to have buildings that are mostly leased, like 90% or more. So if your building is 80% leased, it's going to get a big discount. But as you lease it to 90%, you start to get into what looks like to be really quite attractive pricing. So I think that the individual that decided not to sell a building, but lease it up some more is getting that information from how investors are valuing assets. And there's been a pretty significant amount of data on the assets. There's widely reported that Oxford wants to sell the Citibank building. We hear there's other buildings coming up for sale. We've also heard of some buildings that have been selling off market. So it looks like there's an investment market in office. And to bring it back to Impact Trust a bit more, there wasn't much of a market before in land. There's not too much of a market right now because most of people who like land already have a lot. But we're anticipating that we'll start to see land transactions follow office transactions, and we'll be able to get good feedback on value. So it is an interesting time. And despite the news, it looks like it's generally getting better. Did I answer both your questions?
Roger Lafontaine: Yes. And for reference, the property I was referring to was on Front Street. It was an H&R property. They noted it on the Q4 call. So I thought perhaps that would be good for Dream Impact, which does have office still. So that sounds great.
Operator: Your next question comes from Alexander Leon with Desjardins Capital Markets.
Alex Leon: I wanted to start off with the land loans. I'm just wondering if you can give an estimate of the expected interest expense savings from the $56 million repayments.
Michael Cooper: A good question. I think that -- two things have happened. Number one, the principal is going down; and number two, the interest rates have come down, too. So like the floater rate is 2.25%, we're probably in at 5%. We might have been paying more. And then on $50 million, that would be 2.5%. But on the other balance, it was probably 75 basis points on 100. So we're probably looking at $3.25 million a year.
Alex Leon: Okay. That's great. I appreciate that. And then moving on to Cherry House. I know that you guys started leasing some of the remaining blocks early this year. I'm just wondering if you're planning on kind of reaching stabilization this year and transferring that over to the recurring income segment.
Michael Cooper: I would expect -- I mean, that would be nice. I'd expect it would get to next year. I think it's about 850 units. So it's just a little bit better than Maple House, but we're pleased with the leasing, and we hope to break the back of it this year, but not finish it up until next year.
Alex Leon: Okay. Got it. My next question is just on some of the condo occupancy income. I'm just wondering how much was recognized in 4Q related to the Mason and whether there is any more to recognize throughout the remainder of the year?
Michael Cooper: No, there was none in Q4, and there won't be any for the remainder of the year.
Alex Leon: Okay. And is that the same with kind of the other component, Brightwater?
Michael Cooper: That's correct.
Alex Leon: Okay. And then last one for me...
Michael Cooper: Sorry, go ahead.
Alex Leon: Sorry, the last one for me was just on -- there's some verbiage in the MD&A about some nonrecurring expenses in G&A and at the NOI line as well. I was wondering if you could give some color on that.
Michael Cooper: Yes. So there was -- in the NOI line, there was some property tax accruals that occurred. It was about $600,000. So that was in there. If you want to look at the run rate for kind of NOI multifamily, you would probably add about $154,000. So I believe that was $2.8 million. So it's about $3 million run rate on there.
Alex Leon: Okay. Awesome. And then was there something in G&A to bring it higher this quarter?
Michael Cooper: There was a shared service recovery that was at year-end. So that was about $1 million. That was for kind of additional work that was performed on Ontario, getting that up and working with the government and all those things to get, sorry, to get that development going. So there's additional work on there. So that was about $1 million there.
Operator: Your next question comes from Ian Gillespie, a private investor.
Ian Gillespie: Two questions. One on 49 Ontario. Given that you've been undertaking the demolition and you must be now receiving firm bids on some of the construction. Can you quantify what sort of savings you're seeing on those bids relative to what you might have seen a few years ago?
Michael Cooper: Yes, I'm glad you're asking compared to a few years ago because when I say that, what I mean is the market's changed. So I think, I know the answer, thinking about what's appropriate to say. We've done 10%. We've got about another 50% that we've got good indications, but we haven't signed them up. So before the end of the June, we're expecting to have 60% or 70% done. And we've got pretty good visibility. So I would say from like the worst days, it's more than 10% savings. And that goes a long way.
Ian Gillespie: On that project, it would. Second question, with regard to the Dream loan, $29 million is still available. What is your forecast in terms of further draws on that loan, if any, over the course of this year based on the way you've modeled the year at this point?
Michael Cooper: We budgeted that it will be used up this year. But literally, we have $5 million and $10 million swings all over the place. So far, the swings have been positive. And to a certain extent, we're saying like, hey, if we've got enough liquidity, maybe we won't sell that building and stuff like that because we can do better by waiting. So the expectation is that we will draw all $50 million in 2026.
Ian Gillespie: And then if you need to go beyond that for any reason?
Michael Cooper: Look, it's -- okay, let me take a second. I've never seen an environment as volatile as we're in with as many macro Canadian issues as well as geopolitical issues. So if you think about a bell curve, you got the 2 tails. Obviously, everybody is focused on, are we looking at events that could be at the really bad end in the tails, right? Like how bad can it get? But what we're seeing on the ground actually is we're generally in a recovery. I think in Canada, we're in recovery per capita income is increasing. I think we have like 1.5% growth in per capita income this year, which is pretty good. That's adjusted for inflation. So we look at it and say, the real likelihood is that things are going to continue to get better. And I think we're well positioned for that. There's a tremendous amount of value in this company. But we're also very thoughtful that with free trade, with the Canadian finances and some of the big ambitious stuff they have going on, hopefully, it will work. Maybe it doesn't. Will the projects that are being talked about ever happen, those kinds of things. So we have a backup plan if it doesn't go as well. It just depends how deep into the tail we get, meaning I think we have an expectation that we'll achieve the capital needed in 2027 from sales. But I think Dream is really quite excited about what's happening. And if everything else is fine, we'll probably look at expanding the loan if it's necessary.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: Thank you, operator. I'd like to thank everybody for calling in. We appreciate the questions. Like everything, it seems really slow and then all of a sudden, a bunch of things happen. We've had a very busy first part to the year, and I think that the next 90 days is going to be busy, too. So we'll have a lot to update you on. So thanks for your continued support. We look forward to catching up, and please feel free to reach out to Derrick or me if you have further questions. Thank you.
Operator: This brings to close today's conference call. You may now disconnect. Thank you for participating, and have a pleasant day.